Operator: [Foreign Language] Welcome to the TC Transcontinental Fourth Quarter and Fiscal 2020 Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session and instructions will be provided at that time. As a reminder, this conference is being recorded today, December 10, 2020. I would now like to turn the conference over to Yan Lapointe, Director, Investor Relations. [Foreign Language] Mr. Lapointe, please go ahead.
Yan Lapointe: Thank you, Gabriel and good afternoon everyone. Welcome to TC Transcontinental's fourth quarter and fiscal year 2020 results conference call. The press release and the MD&A with complete financial statements and related notes were issued earlier today and are available on our website at tc.tc. A replay of this conference call will also be available on our website under our Investor Relations section. We have with us today our President and Chief Executive Officer, François Olivier; and our Chief Financial Officer, Donald LeCavalier. Before I turn the call over to management, I would like to specify that this conference call is intended for the financial community. Media are in listen-only mode and should contact Nathalie St-Jean, Senior Advisor, Corporate Communications for more information or interview requests. Please be reminded that some of the financial measures discussed over the course of this conference call are non-IFRS. You can refer to the MD&A for complete definition and reconciliation of such measures to IFRS. In addition this conference call might also contain forward-looking statements. These statements are based on the current expectation of management and information available as of today and they also involve numerous risks and uncertainties, known and unknown. The risks, uncertainties, and other factors that could influence actual results are described in the fiscal 2020 annual MD&A and in the latest annual information form. With that, I would now like to turn the call over to our President and CEO, François Olivier.
François Olivier: Thank you, Yan and good afternoon everyone. We delivered another excellent quarter ending our fiscal 2020 with a strong performance in all of our businesses. More than half of the year was impacted by COVID-19 and I’m proud to say that with our resilience, agility and operational efficiency, not only did we pull through but we are stronger than we were one year ago. How did we do that? First, we significantly improved the profitability of our packaging sector. Second, we demonstrated our ability to control our cost and print whatever the context. Third, we protected our free cash flow generation and significantly reduced our debt keeping us in a sub solid financial position. Fourth, we launched a strategic plastic recycling business, and fifth, our media sector of the spectacular year, it can build on. Let me review the highlights for the fourth quarter. We were very pleased with our packaging results. We continue to see sustained customer demand for food and consumer products driven in part by stay at home behavior. These products account for the majority of our portfolio and enabled us to offset the adverse effects of the pandemic and certain other markets. In terms of profitability, I mentioned last quarter, the expected negative impact of resin pricing dynamics. Despite this impact, we recorded significantly higher profitability on a year-over-year basis thanks to our operational efficiencies, better than expected synergies and a favorable mix. I'm also proud to say that we delivered on our objectives and packaging for the full year. We evolved our portfolio to grow end markets where we have a strong competitive advantage. We grew our EBITDA by $20 million to $228 million, and this in spite of selling our paper packaging business $480 million U.S. in January 2020. Organically, our EBITDA grew by 13%, quite an achievement. Our robust R&D project portfolio continues to be a major focus and we are making significant investment and product development. Demand is growing for packaging that is recyclable, compostable, or has recycled content. This position us well as our customers are increasingly turning to us as their sustainability partner. On that note, we recently announced the purchasing [ph] agreement with the Coca Cola Company, which is using our newly launched shrink film, containing 30% of post consumer recycled plastic. We are proud to support the Coca Cola Company to make progress towards our shared sustainability objectives. We also continue to commercialize our compostable leaded and mother bags with major coffee brands across North America. Thanks to our recycling group, we continue to make headway in the circular economy for plastics, by increasing our capabilities to provide a stable procurement of recycled resins. We are well positioned to benefit for the trends towards more sustainable products, a key component of our long term growth and packaging. Our printing sector also had a very solid quarter, showing its resilience in spite of the pandemic. While we continued to see recovery in demand, we also further optimize our platform by reducing our overall costs. The gradual recovery of orders continue, albeit at a slower rate and we now stand at around 80%, 85% of last year's volumes, in line with the levels we communicated last quarter. That said, the crisis has resulted in a loss of revenue of more than $270 million for the past fiscal year. Turning to our flyer business, in the quarter we saw gradual return to pre-pandemic levels from most of our customers. Despite the recent lockdown measures by government to prevent the spread of the virus, our volumes have been resilient so far, but we may we remain cautious regarding the potential impact of the second wave. As I've said before, direct promotion remains at the heart of retailers strategies. We know that the flyer continues to drive both in store and online retail traffic. Based on two recent surveys, flyers readership remained steady throughout the crisis. This is a clear indication that it's still an effective marketing tool to bring value to retailers while supporting Canadian and household cost savings in these difficult times. In our print segment, a significant portion of our revenues now comes from verticals that are growing nicely, such as premedia, book printing, and in-store marketing. We invested more than 10 million over the past year in our book printing platform to increase capacity and to improve manufacturing efficiency. This investment signals our confidence in the future of the North American book market. We are well positioned to benefit from this growth. Overall I'm very proud of our print sector that has generated strong free cash flow and was able to maintain good margins. The fact that we now have about 25% of print revenues, and growing segments is another reason why we remain confident in our ability to continue generating strong cash flow, or print sector for many years to come. Our media sector is another resilient business. We had an excellent quarter with a strong growth and profitability year-over-year. This was not only driven by four quarters seasonality, but also by innovation, and adapting to the pandemic context. We continue to channel our effort into growing these assets, both organically into future acquisitions. In conclusion, I want to leave you with a few messages. First, our 2020 results reflect the strength of our diversified business model in each of our sectors, combined with a strong execution and agility. Second, in packaging our main engine of growth, we have successfully completed the integration of Coveris America, and we have more than delivered on our synergies. Our foundation is build -- our foundation to build a larger, more profitable packaging company is strong, and we are confident about delivering another solid year in fiscal 2021. Third, while it is too early to provide an awful footprint in the on-going pandemic context, we expect to see an improvement in volumes, especially in the second half of fiscal 2021 as we cycle past the hardest hit quarters of fiscal 2020 and move towards a new normal. Fourth, we are confident that our print and media sectors will both continue to provide fuel for our growth by generating significant cash flows in the years to come. Finally, with the strong results we delivered combined with our solid financial position, we are optimistic about the coming years and remain committed on executing on our growth strategy. With that, I'll turn it over to Donald.
Donald LeCavalier: Thank you, Francois and good afternoon. I will start by looking at the consolidate numbers. As expected, revenues in the quarter were down year-over-year. Like we saw in the previous quarters, the difference is mainly related to lower printing activities because of the impact of COVID-19 and the sale of the paper packaging business in January 2020. Consolidated adjusted EBITDA for the quarter was up by 5.5% versus last year, mainly from higher margins in the packaging and media sectors. I'll provide more details on how we drove profitability improvements in the review of each sector. Interest expense declined as we reimburse $375 million of debt earlier in the year combined with lower interest rates. The tax rate was slightly higher than what it was what we have seen in previous quarters due to the non-recurring items. Folio [Ph] tax rate was 25.9% in line with our guidance. Performance combined with lower interest expense led to adjusted net earnings of $0.83 per share for the quarter compared to $0.80 last year. Now, looking at the segment, once again, our packaging sector led the way with a very strong quarter. While revenues were lower than last year, mainly because of the sale of the paper packaging operations, we saw strong organic growth in many foods related segments. This includes the introduction of a new product for the banana business in Latin America. This growth was offset by declines in non-food markets, but we expect those to recover in fiscal 2021. For the full year, excluding the impact of the resin prices and the sale of the paper packaging business, the packaging sector generated positive organic revenue growth of about half a percent. As we mentioned last quarter, the lag impacting the resin price increases to customers impacted margins in the fourth quarter. Despite this impact, we delivered an adjusted EBITDA margin of 16.9% versus 13.8% last year. The two main drivers of this large increase were an improved mix, especially following the sale of the paper packaging operations, and the fact that we exceeded targets or synergies and efficiency gains. In addition, IFRS 16 contributed 60 basis points to the improvements. Our print sector also had a strong quarter, giving the pandemic context. Revenues were down organically, mainly as a result of the pandemic, with a decline of 20% in line with our outlook. This is a big improvement from the 32% we saw in Q3. In November, volumes were around 80% to 85% of last year, but with a second wave, we remain cautious regarding the next few months. Looking at profitability, the significant reduction in our cost structure and the amounts received from the government Canadian emergency wage subsidy program contributed to an adjusted EBITDA of $79.5 million for the sector. On a full year basis, excluding the subsidy, we delivered an adjusted EBITDA margin of 20%. I'm very proud of this achievement, as it highlights our ability to align our cost structures in the print sector. I'm also proud that we continue to deliver strong free cash flow, in spite of the pandemic impacts. Our media business had an excellent fourth quarter much beyond the expected seasonality. Despite the sale of the specialty media assets towards the end of 2019, profitability increased in the quarter. Looking at the full year, our efficient books business turned challenge into business opportunity, and had its best performance in over 10 years. Turning to cash flow from operating activities, we had a good quarter with $102 million, bringing the full year total to $427 million in line with 2019. These cash flows combined with the proceeds from the sale of the paper packaging operations allowed us to repay $375 million of debt. In addition, we invested $98 million in CapEx mainly into packaging, which will drive our future growth. We also distributed $78 million in dividends. This reduction in our debt combined with the IR adjusted EBITDA contributed to bring down our net debt ratio to 1.9 times. If we were to exclude the impact of IFRS 16, the ratio will be at 1.6 times. This is a very significant achievement since we were at 2.5 times at the end of last year. Furthermore, at the end of the quarter, we had a total of $674 million of available liquidity. The strong financial position and our ability to generate stable, solid cash flow provide us with flexibility in terms of capital allocations, including capturing growth opportunities. I'm encouraged by the strong results and I'm optimistic for the future, given the strong foundation we have built. Now for 2021 outlook. In print, as volumes continue to recover, revenues in the second half of 2021 should be higher than those for the same period in 2020. In terms of profitability, excluding the impact of the Canadian wage subsidy program, adjusted EBITDA should grow as well for the second half of fiscal 2021. In packaging, excluding the impact of the resin price, we should generate organic growth, especially in the first half of the year. At the EBITDA level, the increases in resin prices we saw in the last seven months should have a negative impact in the first quarter of 2021. But once again, this impact should be more than offset by efficiency gains, mix and synergies. Once the lag effect is over, higher resin prices will increase revenues with no significant negative impact on EBITDA dollar amounts therefore, only impacting margins. Media should have another solid year in 2021, but not enough to offset corporate costs of around $30 million. Assuming no change in interest rates, our financial expenses should continue to decline in line with a reduction in our debt levels. On that note, we reimburse $US62.5 million of term loans at [Indiscernible] Q4. Our effective tax rate should continue to be in the mid-20s range. In terms of the use of cash for the year, you can assume CapEx coming in at around $100 million. As for the cash tax, you can assume around $50 million. On that note, we will not proceed with the question period.
Operator: Thank you. [Foreign Language] Ladies and gentlemen, we will now conduct a question-and-answer session. [Operator Instructions] Your first question will come from the line of Adam Shine of National Bank Financial. Please go ahead.
Adam Shine: Thanks a lot. Good afternoon. So once again, first of all good results, as you alluded to. Maybe a question or two on packaging to start with. Can you, if you look ahead to fiscal 2021, you've already talked to some of the outlook, but maybe you can talk to some of the moving pieces pluses or minuses? I think previously you've talked about potentially, growth maybe in the 2% to 3% sort of organic growth range. So within that 2% or 3% range, if indeed that still holds, does that actually include resin, which I think provides you with a bit of a tailwind in the context of where pricing is going. And then maybe, while you're answering that I'll leave a quick one for your colleague in terms of the organic growth ex-resin for the year in packaging was 0.5%. Maybe Donald can just tell us if or what the Q4 number was, maybe it's the same, but just want clarity on that? Okay, thanks.
François Olivier: In terms of the organic growth, we're sticking to what we said at the end of Q3 we expect 2021 to be 2% to 3%. We had a tough comp in Q4. And I'm very pleased with the results of Q4 and Donald could share them with you. But having said that last year, our Q1 was not that good. So we expect to have a good start and organic growth in Q1 and Donald mentioned it in his prepared remark. We expect to be stronger in organic growth in the first six months. Again, the last six months have been pretty strong for us or tougher comps, but when it's all said and done, we believe we will be between the 2%, 3%. Will be closer to the tree if the industrial business is coming back you know like a part of our portfolio that is affected by and the gadget by COVID that should help us if when it starts to come back and in a nicer way. And but we believe that the verticals of food that are that are strong are going to remain strong. And these numbers don't include any resin movements. So obviously if the resin price go up we will do more than 2%, 3% if resin price goes down, we'll do less but I believe that we'll be in a position next year to give you the organic growth net of the resin movement. So it's 2%, 3% we're expecting net, excluding resin price movement. And I will let Donald answer your other question.
Donald LeCavalier: Thank you François. [Indiscernible] for Q4 was slightly negative than Q2 resin price.
Adam Shine: Okay, thank you. And maybe François just one other one. You know you touched on the printing trend being in that 80%, 85% zone which was pretty much as you would telegraph back in Q3, can you speak to any particular movements by customers may not withstanding or acknowledging, frankly, some of the restrictive measures that are upon us, and maybe brewing as we work through your Q1, are, we still seeing, as you said, resilience, in terms of the volumes, but are there any particular moves being made, plus or minus by any of the customers key customers?
François Olivier: Before I answer the print, I will complete your answer on packaging to wrap up the year like this quarter was negative 0.3% net of all the resin and all the disposal of assets. But I'm pretty happy that for the overall year if you, if you exit the paper business and the negative impact it had on us for a couple of months early in the year and you net, you exit the resin price movement, we finished the year at 0.5 positive. So that's what we had said early on, we were hoping for, neutral to plus one this year. So we just that did just that in packagings, I'm quite pleased about that. And printing, very similar, we were hoping to be frank with you to, to having this momentum of moving from minus 20, that we were in Q4, and we were at minus 15 in October. So we were hoping to head towards the minus 10, minus eight, because there's still an impact of COVID. But with the second wave in Canada, with the numbers that we all see every day, I think we're going to stay in the zone where we're at minus 20. And if the virus continued to spread further, we might go back to minus 25 and all that. So from what we had hoped for Q1 is going to be a little bit less, less busy than what we had anticipated. The main reason is that, a lot of our customers in retail, for example, they're, for the most part, all of our customers are, are still using the flyers to communicate with the consumer, but a lot of our customer, especially the non-food customer had supply chain issue. They're not even sure how much stuff they will receive from what they have ordered. So it's very dangerous for them to put things in promotion, if they could not fulfill the demand. So it has an impact on us on reduce page count, because a lot of our customer are afraid to, to advertise too much, because they're not sure they're going to get the goods. So these are some of the trends that had negative impact on us, because of the COVID. Some provinces went down to more serious lockdown, that's certainly an impact on retail. So that's why we remained very cautious for the first six months of the year. And you have to remember Adam, we're going to compare in the first five months with non-COVID months last year, and we fully expect November to March this year to be impacted by COVID. After that, it's going to be the other way around, we believe that things are going to probably get better. And then we're going to compare for the last several months of the year with numbers that were heavily impacted by COVID, minus 50 in April and minus 32, and in Q3 and minus 20 in Q4. So we're very, we're pretty sure that we're going to do a lot better for the rest of the year. But it's going to be slower than what we had hoped for in the next three to five months that would be my guess.
François Olivier: Great. Thanks for that detail. Appreciate it.
Operator: Your next question will come from the line of Mark Neville of Scotiabank. Please go ahead.
Mark Neville: Hey, good afternoon, guys. I echo those comments. Very good quarter. If I could ask just the first question the agreement with Coca Cola. François, just curious what territory that covers and I think its first Sparkling Water product, but is there a chance or possibility that grows to a water? Water sort of product base?
François Olivier: Yes, we both decided to go. This brand is was a new brand for Coca Cola and Sparkling Water and brand called AHA. It's been launched in various parts of the U.S. I think mainly the South East. I don't recall all the states where it was the initial launch, but this is a new product and our innovation that we had brought to Coca Cola fit well with that brand. And it was the volume is obviously a lot less than if we would do that for, for the cases of 24 and 36 pack of Coca Cola across the United States. So this, we both see it as a test, this test has been very successful in terms of the product doing what it's supposed to do, and then running very well and very, very fast on their line, so no issue there. But obviously both for us and Coca Cola, we hope to deploy that product to bigger other brands and bigger volume but we'll do it step by step in. And we're innovating and learning together. But it's going very well. And we're quite pleased about how things are going at the moment with this product introduction.
Mark Neville: And for the Coke product, are they using recycled packaging now? Or is this sort of their first test, the first problem? Unless you comment on it? But…
François Olivier: Yes, no, we did the trial in the last, we've been working on this for six to eight months, and the product was launched about a month ago. So it's commercial, it's in the market. And this brand has been launched with, with the new product. And this product content contains 30% of ocean bound resin, which is plastic that is picked up near the beaches and near the ocean. And this is our, this is the product we manufacture for them. And we have other blends or other innovation that we will probably introduce with them and other customers around the shrink markets.
Mark Neville: But I'll -- just a couple points of clarification is on the guidance. So for the print you’re saying sort of ex-subsea growth. So when that's right, you're around 220 million. That's sort of the adjusted EBITDA for fiscal 2020. That's sort of the baseline you're referring to when you're talking about growing next year?
François Olivier: Yes, yes, yes. If you factor out the Canadian wage subsidy, that's the basis. And what we're saying is we call this we're going to do better than that next year, we were going to grow in the second half of the year. And that's why we think that both from a sales standpoint, and the EBITDA standpoint that we will do better next year.
Mark Neville: And again, in the packaging is really, I guess, two, two and a half months of the paper and packaging business that you're laughing and then you sort of grow from there ex-resin, right? That's communication back.
François Olivier: Exactly. And it was like two and a half months. And if you look at our MD&A you will have the sales number and EBITDA contribution I believe.
Mark Neville: And maybe just one last one. There's just thoughts around M&A. I guess it was a difficult year to do proper diligence not being able to travel distance. I'm just sort of curious where you're at and your thoughts around that? Thanks.
François Olivier: I could say that, we even though we can travel, we were very active in reviewing a lot of files. There's been some transaction and, and all the space where we operate. But we have the balance sheets to be more active now that we're below two times, at 1.6 time excluding the IFRS, this is how I used to look at it. We believe that we could be more active. Donald mentioned it on the call. We have about 684 million of liquidity right now. So we think that we have opportunities to do, tuck-in acquisition, both in media and print to continue to, to change their portfolio. I mean, not a lot of people give a lot of attention to all these small deals. But they're adding up and they're changing the mix of the print sector. So a lot of people think about transcontinental printing for what it was 15 years ago, I can tell you it's very different. And it will be very different a year from now, it will be very different two years from now. So we -- I mentioned it because when people think about M&A for TC, the only thing packaging but we have a lot of opportunities to grow our media portfolio that performed quite nicely this year. We have some opportunity to continue to grow in our growth sector and print. And we also have opportunities in North America and South America to continue to do A&A. And packaging needs to be the right fit at the right price. But we just brought in a new leader to help the M&A function. And he'll be working with me and so yes, it's very much at the heart of our strategy to do M&A and months and years to come.
Mark Neville: Okay, thank you.
Operator: Your next question will come from the line of Paul Bilenki of TD Securities. Please go ahead.
Paul Bilenki: Thank you. Good afternoon. I hope you're all keeping well. Maybe just following on that last question and the quarter of the print business that's now coming from growth verticals? What is your sort of growth expectation on organic basis for those parts of the print business moving forward? What sort of growth trajectory should we expect for those growth verticals, in the coming years?
François Olivier: Well, there's three, there's three parts that represent 25%. There's the POP [Ph], we are now close to $150 million. We made it public that we believe that we plan to take it as quickly as we can to 250 through organic growth that we're enjoying right now. And this organic growth is north of 10%. We're expecting to grow this business, double digit every year with the portfolio of products that we now have, because we used to have a certain type of POP business and then we acquired companies with other types of products and offerings and now we're offering to our old customer the new products, and we're offering to the new customer, our OTC products. So we have a lot more ability to grow organically, and we don't really need to look for the customer, we just have to look at our customer roster and offer a full offering and it's working and I just picked up a $3 million order with one of our largest customer on stuff that we couldn't do before we bought Artisan and Holland & Crosby. So this part of the portfolio we expect double digit organic growth, and we intend to continue to make M&A we have opportunities to fulfill that vision. So years or months to come, you should expect us to grow from 150 to 250. So that's a lot of growth if you put in the M&A. In the book segment, we expect no single digit growth. No if you want to number 5% would be would be the number and Premedia up 5% to 10% is probably possible maybe some years be up double digits, some years will be closer to 2% to 3% because this business tends to come in bigger chunk. But again, we are offering new services and around creating content for e-commerce and for the web. So this is actually growing quite good with our customers. So this is our expectation. So globally, this 25% I've not made the calculation, but if you factoring M&A in there, it's got to be double digit growth.
Paul Bilenki: It's very helpful. And you've had a number of plant closures recently on your print business and other ones underway here in Winnipeg. And a couple of those facilities are company owned. I'm wondering if you have any plans for asset sales for those facilities that you owned? Or what you plan to do with those assets?
François Olivier: Yes, it's been happening. If you look how much real estate we sold over the last 10 years I don't have the number but it would be impressive. And it goes under the radar screen but yes, we don't, we've repurposed some of our building around packaging, like we've put in a packaging plant and Laprise [ph] building for example. We are doing a lot of synergies moving five POP building into our former Brampton plant. But for the most part, we are selling those building. And, a real estate market is pretty good in Canada. I can tell you that. I'm often blown away by how much money our plants work and the market. And then there's underlying value. And when we look at what TC printing is printing up, you just look at the value of the real estate we own and cities like Vancouver, Calgary, Toronto and Montreal, the market value of those assets, those buildings are simply not priced and are multiple. So yes, once we get rid, we have to shut down the plant. We will sell like the Winnipeg plant is on the market? There's a few in the market, and then we're selling them. Yes.
Paul Bilenki: Okay, great. Maybe one more for me, you were one of the first signatories of the Ellen MacArthur pledge. I'm wondering if you could provide an update on where you currently stand relative to those targets you'd set out and your confidence in achieving those 2025 targets? Just the annual Ellen MacArthur report has been put out, and it looks like there's a lot of work still to be done by most of the industry. So maybe if you can just touch on that a little bit?
François Olivier: Yes, we've made a few commitments. One of the important one was two main one, one, was to make all of the flexible packaging that we produce fully recyclable by 2025. We are making some good progress. Obviously, in order to get that done, we will need to invest probably in some new technology work with our supplier. But we are progressing well. And I'm quite encouraged because us and a lot of our competitor have made some good inroads, and products that I felt was going to be very difficult for us to make recyclable around high barrier package that have multiple layers of plastic, including in there, which make it very difficult to recycle them. But as an industry, I think we came up with a lot of good ideas that are going to be implemented in the years to come. So I feel pretty good about our ability to get that done for 2025. And the other pledge that we made, was to incorporate it 10% of recycled resin, and everything that we do, which means creating a market for plastic waste, so that plastic doesn't become waste, but is re-put into the system. And in order to reap, to create a circular economy, you need to create a package that will use waste. A good example is, like what we talked about earlier with Coca Cola, now this package is made 30% with waste. And then if we, if we move, a large chunk of our of our shrink business, we're going to create a huge market for waste. And then we have a lot of verticals where we are testing and introducing products at the moment and various verticals, our customers, and we're testing them to see if they are having the same runnability and they are allowing the same resistance. And so far, I'm quite pleased by the progress. So I think we will probably surpass this 10% by 2025. That would be my guess. So yes, we are progressing very well as DC, and I must say as an industry I mean we're not alone, our competitor are also moving in that direction and our customers are want to move in that direction. So I think we're all aligned. We have similar goals as an industry. And I think the industry if we are -- if we have the time and if we work and partnership with various governments with -- in North America, I think we could create that circular economy for plastic.
Operator: Your next question will come from the line of Drew McReynolds, RBC. Please go ahead.
Drew McReynolds: Thank you very much. Good afternoon. First, François for you a clarification, when you were going through the three drivers of that 25% of printing that is growing. On the premedia side, what was your expected growth rate range I missed that?
François Olivier: Probably a little bit, north of the 5% between 5 and 10 and I said that it's not like a, you usually win big chunk or big contract. Customers are moving you their, their studio work or their photo work or their e-commerce work and you tend to pick up large chunk of that. time. So yes, it couldn't be more than that a year and lower nap. But globally, I think we could, we could grow between 5% and 10% in that business on a longer basis.
Drew McReynolds: Okay, super, thank you for that. Just shifting to packaging, margin. Initially, when I saw the strong quarter in Q4, I thought, maybe some of the resin dynamic that you had communicated last quarter may have gotten shifted into Q1, but it sounds like you got hit, but we're certainly able to manage that impact. Is that a better characterization, as opposed to kind of shifting this timing wise into Q1?
François Olivier: Yes, yes, you're right. We definitely hit bumps in Q4 as we, as we set it at the end of Q3. Remember, we said that we had a strong portion Q3, and we were expected to actually the reverse in Q4 and the amount was important. So that shows that as I said, in my opening remarks that all the efficiencies, the mix, and some of the synergies that we're still capturing it, were very strong, also Q4.
Drew McReynolds: Okay, great. And then as we look for packaging, margins in fiscal 2020 set for a number of quarters now, 16% to 17%, post IFRS 16 is where you kind of wish to land. If you're able to do, maybe a little bit better than that, is that an opportunity for you to make some kind of reinvestment in the business? Are you kind of focused on optimizing margin or do you have kind of a pipeline of reinvestment that, you could make in the next couple of years?
François Olivier: Well, let Donald answer for the for the margin. But I think, I said it last quarter. And I don't think it changed. And we don't want to change that. So we basically said to a question, we had that the new normal is 16. And the new normal is 16. And that's what we believe, we are striving to again, net of the resin impacts on quarter could be less could be more based on the resin. But that's where we feel we're at, which is a year ahead of the target we had set for ourselves when we bought Coveris. In terms of reinvesting in the business like Donald said it. This year, we invested $100 million in capital. And most of it went to packaging. And next year, we're investing $100 million, and most of it is going to packaging. So for sure we are reinvesting in the business. If you look at ourselves and Canadian dollar being about 1.3, that's, a high percentage of our revenue being put in new investment. And certainly when we said earlier that we will grow revenue 2%, 3% organically next year, which is our goal. A lot of that is supported by investments that we've made this year that are going to come online, next year. New equipment, new extrusion, new presses, new technology, new products are certainly the backbone of our organic growth story. So yes, we are. We've been investing and we will continue to invest. We just talked too much about it. But it's already the base for our growth in 2021.
Donald LeCavalier: And maybe, to add on François answers regarding the margins. One thing to consider is that obviously resin will and we hear right now that there might be some more increases. So obviously, we'll have, as I said, and then back in Q1 on the EBITDA level, but also, you understand that it plays a role. Also on the margin, even though if we do some cash to a client, it will have an impact because it increases supply at the same time. And maybe regarding, the objects that we owe, it's part of our DNA to always work for a better margin, but also when we have set of assignments and the per year of the plan. We'll see margin expansion might come also with organic growth, and this is why we're tucked in with a 2% or 3% organic growth that said earlier, that might be helpful also...
Drew McReynolds: Yes, okay, got it. Thank you for that. And one last one for me, maybe for you Donald, on the government subsidies, in terms of the programs kind of better left here that could benefit you. Is there anything that's still cycles through here and your fiscal Q1 and maybe potentially, into calendar 2021?
Donald LeCavalier: Yes there will be some in Q1. This will be less than what we had in Q4. It's hard for me because there's no nothing has been published yet for January 21 regarding the formula, and it's not a steady formula since the program is started. It changed over a month. And nothing has been announced so far January 2021. But we still in the last in the first two months of our first quarter, we will receive some. But I would say overall, it's probably I would say that the maximum be around 50% of what we had in Q4, so it's definitely going down.
Drew McReynolds: Okay, super. That's it for me and great, great performance this quarter.
Donald LeCavalier: Thank you Drew.
Operator: [Foreign Language] [Operator Instructions] Your next question will come from the line of David McFadgen of Cormark Securities. Please go ahead.
David McFadgen: Hi. I just wanted to ask I guess a hypothetical question. Assuming, the world recovers from COVID, which hopefully as soon as these vaccines have their market now. Do you think it's realistic that on the printing side of the business, you are getting back to what you did in 2019, which is a $268 million of EBITDA. And I was just wondering, and maybe you mean, the higher given all the cost synergies you guys have realized? Any comment on that?
François Olivier: Yes, well, it's very hard for us to predict the end of the pandemic. And we all think that will be some economic boom, or when people are going to be allowed to go out and to shop and to go to the store freely and do things. We think that, we as a country, we will enjoy some economic recovery, like for sure, Print will is heavily tied to this. You know, is it possible we go back to where we were in 2019, and it's possible, but it would need a quick recovery. I mean, we, if the recovery is in, is in August or September, then we will enjoy the recovery for two months rather than a year so we can we can go back to what we had in 2019. You have to understand that 2019 was a year without any COVID. So, it's pretty hard for me to answer your question, and I would not like to answer it, because it's hard to predict what's going to be the strength of the economic recovery, what's going to be the new normal for print? It's hard to say, or is everybody going to come back to the level that they were in 2019? We know that in some vertical, like magazines, we don't believe it will be the case. We think that it will be. It'll be much, much smaller industry. Unfortunately for TC, there was not a big part of our business. We think that the newspaper industry will do probably better in the long term than what people think because they are starting to receive some of the support that's been promised to them by various government authorities. So they are starting to benefit from some support. And I think that will help that industry remain in better shape than most people think. And so it's hard to predict. But what we've said, and that what I could see for next year is in last year, we did 220, without any wage subsidy impact, and we believe that we are in a position to do better than that how much then it depends on the pandemic after that. What's the new normal, it's very hard for me to sit here and try to make a prognostic about that.
David McFadgen: Okay, I think the while I was talking on an annual basis, I was just saying like, hypothetically, assuming we get a full year with things back to normal. In terms of the CEWS, I think in the fourth quarter was 14.5 million. I don't think you provided the breakdown in the NBA between packaging and printing to give us that?
François Olivier: The largest part was in printing. Probably 90%, yes.
David McFadgen: 90, and what is similar be 90% for the full year, it must be right if you're talking about a baseline EBITDA of 220x TWS, right?
Donald LeCavalier: Yes, we could take that offline. We have all those numbers, but the bulk of the money we receive is for the print sector. Yes.
David McFadgen: Yes. Yes. Okay. Okay. And just on M&A. I mean, I was just wondering, are you, are you looking at any targets now that you could actually act upon or it's still just too early right now?
François Olivier: We never commented on, on M&A where we're at. But what I can tell you is like what I said before in the three verticals, media, print, and packaging. We did look at files in the last couple of months. And they're stuff that that we're there's always stuff we're working on. If you look at transcontinental for the past 10 years, in terms of buying and selling company, I think our average number of transaction is probably north of six a year. So yes, we will do movement in our portfolio and 2021 that's for sure. It remains to be seen how many transaction and the size, but for sure, we will do M&A in 2021. But this is something also that it's very hard to predict.
David McFadgen: Okay, all right. Thank you.
Operator: There are no further questions at this time.
François Olivier: Thank you everyone for joining us on the call today. And we look forward to speaking with you soon.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.